Operator: Thank you for your patience. The Mytheresa Second Quarter Fiscal 2022 Earnings Conference Call will begin shortly.  Greetings and welcome to the Mytheresa Second Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. It is now my pleasure to introduce your host, Martin Beer, Mytheresa's Chief Financial Officer. Thank you, sir. Please begin.
Martin Beer: Thank you, operator and welcome, everyone, to Mytheresa's investor conference call for the second quarter of fiscal year 2022. With me today is our CEO, Michael Kliger. Before we begin, we would like to remind you that our discussions today will include forward-looking statements. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties, including the risks and uncertainties described in our previous annual report. Many factors could cause actual results to differ materially. We are under no duty to update forward-looking statements. In addition, we will refer to certain financial measures not reported in accordance with IFRS on this call. You can find reconciliations of these non-IFRS financial measures in our earnings press release which is available on our Investor Relations website at investors.mytheresa.com. I will now turn the call over to Michael.
Michael Kliger: Thank you, Martin. Also from my side, a very warm welcome to all of you and thank you for joining our call today. We will today comment on the results and performance of our second quarter of fiscal year 2022. We are extremely pleased with our results and performance. We believe that they not only clearly show the fundamental strength and long-term growth potential of our business but also that we are emerging as one of the few winners in the clearly consolidating luxury e-commerce space. I want to leave you today with three key messages supporting this view. First, there are still massive growth opportunities for our business driven by the shift of consumers to online and untapped geographic as well as category growth potential. All of them support a long-term growth of 22% to 25% annually for our business. Second, we believe that we have the best brand relationships in the industry based on trust and our ability to create value for our brand partners through impactful digital content and campaigns. This drives our confidence to remain the best partner of choice for luxury designer brands to engage with our high-value multi-brand customers who cannot be easily reached with mono-brand offerings. Third, we believe that our proven ability to execute at the highest level has never been more important than in the volatile times like today. Our operational excellence is driving customer loyalty which in turn delivers outstanding financial results. We have consistently outperformed expectations, both on growth and on profitability over the last quarter. Let me now comment in more detail on these three key messages for today. First, in the second quarter, we grew our gross merchandise value by 26.2% compared to Q2 of fiscal year 2021. This was above our continued long-term guidance of 22% to 25% annual GMV growth. We have seen a slightly lower growth rate compared to Q1 of fiscal year '22 which is fully in line with our stated view that the pandemic has accelerated the online demand for luxury and that this trend will continue at a slower pace in the post-pandemic world but it will continue. Our multiyear growth potential is evidenced by the very high two year growth rate of GMV of 67.7% in the second quarter of fiscal year 2022 over Q2 of fiscal year 2020. We combined this growth with a gross margin of 53.4% in the second quarter of fiscal year 2022 compared to 49.5% in Q2 of fiscal year 2021. So our growth was driven by healthy and strong consumer demand, not by promotional intensity. We had a record number of new customers with over 120,000 first-time buyers shopping with us in the second quarter of fiscal year 2022. The backdrop to all of this is the change in consumer demand in luxury shopping. It is estimated by some consulting firms that over 30% of the personal luxury goods spend will be online by 2025. This would be an online market of €110 billion which at least 30% or over €33 billion is estimated to be captured by multi-brand fashion platforms, of which we are the clear leader. The second quarter again saw also big growth in the United States for Mytheresa with 74.2% growth in net sales compared to Q2 of fiscal year 2021. The U.S. accounted for 16.3% of our business in the second quarter compared to 11.1% in the second quarter of fiscal year 2021. Mytheresa is gaining traction as a top-of-mind shopping destination for U.S. luxury consumers. There's a void in the U.S. retail landscape for a true luxury retail player and consumers are leaning into Mytheresa to help fill that void. There has been a shift of the New York customer moving to warmer weather locations like Florida and Texas where the weather allows for the customer continuation of outdoor activities and events. People are spending their disposable dollars on unique and special pieces and are really dressing up. The establishment of our team in New York focused on our expansion in the U.S. is starting to show results. We're also seeing strong growth in other regions of the world in the second quarter of fiscal year 2022. Mainland China, for example, grew by 51.7% in net sales. In China, we will also soon strengthen our local leadership and teams on the ground. From a category perspective, we see continued success with our newer departments of kidswear and menswear. Combined, they already account for 15.7% of our business in the second quarter of fiscal year 2022 even though we have only started recently with them. In menswear, we have established Mytheresa as the fashion authority in the post-streetwear era. In home products, we had also a very good first campaign in November 2021. We plan to increase our activities in this category. Overall, we see a lot of additional growth potential across multiple luxury lifestyle categories, including beauty. All in all, we feel, therefore, very confident to deliver a multiyear annual growth target of 22% to 25% for our business. Second, we believe that we have the best brand relationships in the industry. This is based on trust and our ability to create value for our brand partners through impactful digital content and campaigns. We have a unique high-value multi-brand customer base that cannot be easily reached by mono-brand offerings. This drives the desire of brands to collaborate closely with us. Examples from the second quarter 2022 include the launch of the very first winter collection of Isabel Marant exclusively on Mytheresa; our first exclusive womenswear Tom Ford capsule collection only available at Mytheresa and featured widely in fashion media globally; the launch of the selection of Givenchy menswear lux first available only for Mytheresa customers; the Christian Louboutin New Year's Eve collection only available at Mytheresa; the first unisex Ami Paris outerwear collection exclusively available with us and many more. A clear highlight and amazing example of how Mytheresa is able to create unique and engaging digital content for customers was the 360-degree virtual pop-up with Moncler which we produced and launched in October of last year. The pop-up allowed visitors to our website to interactively navigate through the Timmelsjoch Museum in Austria and explore as well as shop Moncler products at Mytheresa. This campaign was featured in WWD, Vogue, Grazia, FashionUnited and many more outlets. Innovative digital content and campaigns like these produced in-house by Mytheresa are a strong differentiator and drive the continued desire of brands to work with us. The Curated Platform Model which we recently launched, is also rolling out with great success. In the second quarter, we had already six brand partners live on the platform. Under the CPM, the inventory remains in the ownership of the brand partner until it is sold by Mytheresa to the customer. The stock, nevertheless, sits in our warehouse. We have successfully integrated all data feeds to the brand so that the inventory can be efficiently managed. The CPM allows us with the respective brands to scale the availability of merchandise much more quickly and even provide in-season replenishment while Mytheresa continues to do what it does best: unique product curation, engaging marketing content and superior customer service. The lower platform fee under the CPM compared to the gross profit margin under the wholesale model is compensated for by marketing and SG&A cost efficiencies as well as additional growth potential on the top line due to in-season replenishment and access to exclusive retail products. The total profit pool generated with a brand under the CPM is thus very comparable to the wholesale model. This is evidenced by the continued high profitability as the rollout of CPM takes place. This innovative partnership model creates a win-win situation for brands able and willing to manage inventory until it is sold to our customers. Please see our investor presentation for more details on the CPM business impact. This focus on true partnership has been and will continue to be a driver of the unique success of Mytheresa. Third, we believe that we have again delivered many significant proof points over the last quarter of our excellence in execution. Of course, our ability to deliver quarter-after-quarter is evident in our strong and unique financial performance that Martin will talk about in a few minutes. However, the most important part of excellence in execution is our ability to excite and develop customers. Our business focuses on a highly curated multi-brand offer attuned to the big-spending, wardrobe-building customer segment which provides us with the best customer base in digital luxury. We have successfully expanded our LTM active customer number by 30.2% year-over-year to 740,000. This was, of course, fueled by new customer growth, as mentioned before. Noteworthy in this context is that we achieved this with our customer acquisition costs remaining very stable compared to the second quarter of fiscal year 2021 despite the often discussed challenges that many companies seem to face: restricted privacy protection rules and rising online marketing costs. Our focus on top customers is a key aspect of our business model and the driver of almost 100% revenue retention from year two onwards for newly acquired customer cohorts. Our top customer base grew by 39.6% in the second quarter of fiscal year 2022 and the spend per top customer grew by 2.3%. To engage and satisfy top customers, we have significantly grown our team of personal shoppers around the world and particularly in the U.S. This allows us to organize intimate top customer events that are often described as money-can't-buy experiences around the world. Just in the second quarter of fiscal year 2022, we held events in Miami, L.A., New York, London, Paris, Doha, Hangzhou and other locations despite the unfortunate drive of Omicron infections. One excellent example was the opportunity for our top customers to attend a dinner in Paris together with the Creative Director of Givenchy, Matthew Williams. Very important for execution excellence in times like this was that we maintained full business continuity across all operations in Mytheresa in the second quarter with a focus on health and well-being of all Mytheresa employees. At least in the second quarter, we were thus able to insulate ourselves from any workforce shortages that did occur in the industry. This highly correlates with a very good customer satisfaction measured internally with a Net Promoter Score of 82.2% in the second quarter of fiscal year 2022. This is a slight decline compared to the second quarter of fiscal year 2021, mainly driven by delays in shipping with carriers across the world due to workforce shortages around the holiday season. The quality of execution and health of our business is best captured by our ability to grow the business globally with a high full price share of revenues as evidenced in our robust gross margin. Finally, I would like to mention that we will shortly publish our ESG commitment which is based on the four pillars: planet, talent, product and policy. Each of the deeply intertwined four pillars paved the way for our continuous, profitable and responsible goals as we build on our ongoing efforts to create a positive impact in our industry and our planet. With all the above, it should come as no surprise that we are very satisfied with our performance in the second quarter of fiscal year 2022. We believe that our results demonstrate not only the fundamental strengths and long-term growth potential of our business but also that we are emerging as one of the few winners in the clearly consolidating luxury e-commerce space. The combination of high growth potential, best brand partnerships and not the least, a track record, excellent execution gives us full confidence to continue achieving outstanding results in the future. And now I hand over to Martin to discuss the financial results in detail.
Martin Beer: Thank you, Michael. I will now review the financial results for the fiscal second quarter, October to December 2021 and will provide additional detail on some of the key topics previously mentioned. Unless otherwise stated, all numbers refer to euro. As Michael highlighted, we are very pleased with our performance during the second quarter which came in above expectations. Gross merchandise value, or GMV, during the quarter was €200.2 million, a 26.2% increase from €158.6 million in the prior year quarter. As a reminder, GMV indicates the total amount of merchandise that our customers transact on our platform and it shows the depth of our customer relationships. We delivered strong GMV due to robust new customer growth and strong existing customer cohort performance. For a customer that values a curated multi-brand offer, we are the number one destination in the world to go to. This sustained and resilient success was clearly visible in our numbers. From fiscal year '18 to fiscal year '21, we achieved a GMV CAGR of 26.3%. In the last six quarters, our quarterly two year GMV growth was stable and strong, ranging from 58% to 66% in each quarter and now in this quarter, 68%. Customer engagement and retention continue to track very well as our active customers who shopped with us in the last 12 months grew by 30.2% to 740,000. This continued success is also in line with our performance during the last quarters and years. From fiscal year '18 to fiscal year '21, our CAGR for active customer growth is at 31%. In the last six quarters, our quarterly two year customer growth LTM was stable and strong, ranging from 63% to 68% in each quarter and now in this quarter, 66.7%. These robust two year growth rates in active customers and higher retention speaks to our unique positioning, attracting a highly valuable multi-brand customer and our ability to deliver excellent service. During the second quarter, net sales increased by €29 million or 18.3% year-over-year to €187.6 million. Due to the onetime effect of selected brands switching from the wholesale model to our Curated Platform Model, or CPM, the net sales increase is slightly lower than our GMV growth in the quarter. As planned, in the second quarter, we had in total six brands who had started shifting from wholesale to CPM. For those brands switching, we now report the platform fee as net sales and not the GMV as net sales. 12 months after the transition of those brands, this onetime effect will be over and net sales will grow in line with GMV again. Those six brands that switch to the CPM are almost half of the total brands that we expect to shift in the medium term. The CPM is fully implemented and is working as planned. Along with the strategic benefits of this partnership, the CPM enables a continued strong GMV growth and a profit pool that is comparable to the wholesale model. I will talk about our unique profit generation and updated guidance for the full fiscal year shortly. Please also have a look at our investor presentation where we talk to the CPM in more detail. As mentioned before, we once again saw significant growth across many regions of the world in the second quarter. The U.S. remains a top growth region with 74% net sales growth compared to the prior year quarter. China grew significantly above the average. Net sales in Germany increased almost 20%. Our total orders shipped in the last 12 months increased by 31.8% to 1.66 million. Gross profit of €100.1 million increased by €21.5 million or 27.4% year-over-year. The gross profit margin, 53.4%, improved by 390 basis points compared to the prior year period of 49.5% driven by our continued higher level of full price sell-through, growing CPM revenues and a higher share of countries with prepaid duties charged to the customer, as for example, in the U.S. Please also recall that sales from our CPM model generate 100% gross margins. Our consistently strong gross profit margin reflects the unique high-end positioning of Mytheresa. In each of the last four fiscal years, we had a solid and stable gross profit margin of 47%. We are very proud of this accomplishment and we believe this differentiates Mytheresa. Shipping and payment costs grew by €7.7 million to €25.5 million driven by an increase in total orders shipped. As a percentage of GMV, shipping and payment costs in this quarter increased to 12.7% from 11.2% in the prior year quarter. This increase of 150 basis points is mostly driven by an increasing share of countries where we pay all customs duties for the customer such as the U.S. As mentioned before, the payment of these duties is reflected in our prices and therefore increase our gross profit margin in respective countries in the same amount. During the second quarter, marketing expenses increased to €23.8 million compared to €19.7 million in the prior year quarter, primarily due to the increase in the number of customers acquired. As a percentage of GMV, marketing expenses slightly decreased to 11.9% from 12.4% in the prior year period as we could not engage in all the activities that we wanted. In addition to acquiring new customers at a stable CAC, we were able to significantly improve our existing customer performance. GMV per active customers increased by 6.4% in the quarter year-over-year driven by a strong growth of 39.6% of our top customer cohorts. Within our performance marketing approach, the IDFA affected customer traffic share is low. And with our ongoing optimization, IDFA impact continues to not be significant and manageable. We respect the privacy rights of our customers. Selling, general and administrative expenses grew by €18.9 million to €41 million, predominantly driven by onetime granted share-based compensation expenses related to the IPO. We adjusted a net effect of €15.7 million in relation to these onetime granted share-based compensation expenses and €1 million other transaction-related costs as we do not consider them to be indicative of our core operating performance. With these adjustments, SG&A expenses as a percent of GMV increased modestly to 12.1% from 11.7% due to an increase in insurance and public company costs. Adjusted EBITDA was €28.3 million as compared to €22.1 million in the prior year quarter. This is a profit increase of 27.8%. This growth is driven by a robust top line growth and a strong gross profit margin in this quarter. The adjusted EBITDA margin expanded by 110 basis points to 15.1% of net sales driven by an increasing CPM share. The adjusted EBITDA margin in relation to GMV is stable compared to the previous year quarter. Our unique and resilient profitability profile has been proven in the last quarters and years. From fiscal year '18 to fiscal year '21, adjusted EBITDA grew by a CAGR of 38%. In the last six quarters, our LTM-adjusted EBITDA margin has consistently been around 9% and increased to 10% LTM in this quarter in relation to net sales due to an increasing CPM share. This is also a unique track record of resilient and strong profitability. Depreciation and amortization expenses were relatively stable at €2.3 million compared to the prior year period at €2 million. Mytheresa achieved this strong increase in profitability also on adjusted operating income or adjusted EBIT level. For the second quarter of fiscal 2022, Mytheresa reported an adjusted operating income of €26 million compared to the €20.1 million in the previous year quarter and thus, representing a solid growth of 29.6%. The adjusted operating income or EBIT margin in this quarter is 13.9% compared to 12.7% in the previous year quarter. We have produced these strong adjusted EBIT levels throughout the past years and quarters. In the past six quarters, our LTM-adjusted EBIT margin has consistently been around 8% and now slightly increasing due to the increasing CPM share. Adjusted net income in this quarter was €18.9 million as compared to €14.8 million in the prior year period, representing a solid growth of 27.3%. Also on adjusted net income level, we have generated a multiyear track record of continued and resilient performance. In the past six quarters, our LTM-adjusted net income margin has consistently been around 5% and now slightly increasing due to the increasing CPM share. As we have always stated, we continue to focus on delivering profitable growth which remains clearly visible in our very simple and transparent P&L. Our unique customer focus and position in the online luxury market will continue to deliver strong, profitable growth. EBITDA, adjusted EBITDA, adjusted operating income and adjusted net income are non-IFRS measures. Moving to the cash flow statement. During the three months ended December 31, 2021, operating activities generated €7.2 million positive operating cash flow resulting from a strong operating performance and a lower increase in owned inventories due to brands switching to CPM and having their spring/summer '22 deliveries in our warehouse but not in our balance sheet. Wholesale and CPM combined inventory at the end of this quarter increased in line with our expected GMV growth. We ended the quarter in a strong financial position with cash and cash equivalents of €79.7 million and total unused availability under the revolving credit facilities of €90 million as of December 31, 2021. Mytheresa has no liabilities to banks, an equity ratio of 72% and for it's size, a solid cash position of €80 million. The expected positive operating and free cash flow for the full fiscal year underscores that Mytheresa operates a superior capital-light model. This is also visible when we relate adjusted operating income or adjusted EBIT to our capital employed adjusted for our own goodwill in the balance sheet. In the past four years, we achieved growing and above-average adjusted return on capital employed. From fiscal year '18 to fiscal year '21, we continuously grew our adjusted ROCE from 13.4% to 25.7%. We also have information on the ROCE calculation in our investor presentation. The strong and growing adjusted ROCE highlights the attractiveness of Mytheresa's unique business model from an investor perspective. In addition, with no bank debt, we are less affected by rising interest rates and continue to be able to invest in our sustainable growth. Due to our strong performance year-to-date, we updated our guidance for the full fiscal year 2022 which will end in June 2022. We now expect GMV in the range of €755 million to €775 million, representing 23% to 26% growth, up from our prior guidance of €750 million to €770 million and 22% to 25% growth. Addressing the luxury customer with apparently lower sensitivity to price increases, we are confident that Mytheresa will be less affected by inflation. We confirm our net sales guidance in the range of €700 million to €720 million, representing 14% to 18% growth. We expect gross profit at €350 million to €365 million, representing 22% to 27% growth, up from €345 million to €355 million and 21% to 24% growth. And finally, we now expect adjusted EBITDA in the range of €64 million to €71 million, representing 16% to 30% growth and an adjusted EBITDA margin of 9% to 10%, up from the prior guidance of 8% to 9%. The strong adjusted EBITDA in absolute numbers and in margin highlights the strong profit pool from customer orders for brands, be they wholesale or CPM. Due to the Omicron effects, we expect Q3 a bit weaker than Q4 because of delays in spring/summer deliveries. We are very proud of our continued delivery of strong numbers. In fiscal year 2022, we plan to achieve profitability levels that we originally targeted for fiscal year 2023 at the IPO a year ago. We confirm our guidance of a positive free cash flow for the full fiscal year 2022 and therefore target positive operating and free cash flow conversion. To finish, let me talk a bit about our medium- and long-term targets. As laid out in our investor presentation, we target annual GMV and net sales growth of 22% to 25% medium term. We expect to double our €612 million GMV achieved in 2021 already in fiscal year 2024. Adjusted EBITDA will also grow 22% to 25% per year in the medium term with a stable adjusted EBITDA margin around 9% to 10%. In the long term and with a higher share of existing customers in our GMV, we would be able to reduce our current 13% marketing spend of GMV substantially and position ourselves for higher adjusted EBITDA profitability level longer term. I will now turn the call back over to Michael for his concluding remarks.
Michael Kliger: Thank you, Martin. We are very pleased with the strong second quarter earnings results. We see ourselves perfectly positioned to take advantage of the ongoing shift to online and luxury spend, the continued consolidation, distribution platforms and the global expansion opportunities. We believe that Mytheresa offers high-value luxury consumers the best multi-brand digital shopping experience there is. And with that, I'd like to ask the operator to open up for your questions.
Operator:  Our first question comes from the line of Matthew Boss from JPMorgan. Matthew, please go ahead.
Matthew Boss: Great. Thanks and congrats on a nice quarter. So Michael, as we think about market share opportunity, can you elaborate on the untapped category potential that you cited in the press release? And as we exit the pandemic, how do you believe the return of global travel and tourism might impact your model?
Michael Kliger: I mean we believe that with our position, we absolutely have a right to play in what we would call luxury lifestyle categories because when we think about additional categories, we always think about the same customer but their or her or his additional spend. So as you know, we have already run one pop-up in beauty. We will have in the next quarter another pop-up. We have no current plans to enter beauty because we still want to understand it. I referenced to the home category where we are sort of already present because we already carry homeware products from brands like Missoni and Brunello and Versace. And so luxury lifestyle clearly is evident in such a product. So I think these are, for sure, categories where we will see Mytheresa play a bigger role over the next years. Beyond that, no current plans. On travel, clearly, traveling consumers or tourists are not buying online. I mean if you travel to Europe or if you travel to the U.S., you are out there. And so an increase in travel may bring additional footfall to boutiques in Europe or in the U.S. from abroad. But on the other hand, we currently clearly see that all the customers we have acquired through the pandemic show exactly the robust repurchase rates and the robust loyalty that we have seen before. So we believe that the customers we have acquired and fully in line with the expectation that online share will continue to rise to at least 30% in '25. We believe travel will probably move footfall traffic across geographies but will certainly not be detrimental for online.
Matthew Boss: That's great. And as a follow-up on the bottom line, so on your bottom line EBITDA margin, you raised your outlook to 9% to 10% for this year and cited a stable margin outlook from here. Help us to think about the step function higher margin runway that you see remaining. And is it fair to think of 9% to 10% as a new floor multiyear for the EBITDA margin?
Michael Kliger: I will also defer them to Martin. But I think you're absolutely right, you have to think in two principal effects that are taking place. One is as we are still increasing our share of brands with CPM, there is, of course, an effect that the comparable profit pool is expressed in net sales terms, so that number is sort of the new normal, I would call. And on the other hand, we also referred -- or Martin referred to a step change longer term. I reiterate, longer term. As we grow our business and as we have the continued loyalty of cohorts, the share of existing customers constantly increase in our GMV, not as the effect of a slowdown in new customers but just cohorts retention drive up existing customer and marketing expenditure for existing customers are far lower than for acquiring new customers. And that allows us longer term to see increasing EBITDA as marketing expenses come down. But this is longer term. Medium term, it's more than 9% to 10% that we have quoted now.
Matthew Boss: That's great. Best of luck. 
Operator: Our next question comes from the line of Kimberly Greenberger from Morgan Stanley. Kimberly, please proceed. 
Kimberly Greenberger: Great. Thank you so much. I wanted to ask about GMV. And what percent of GMV eventually do you expect the CPM model to be over the longer term? Looking here into the third and fourth quarter, Martin, I think you said there would be some delay in spring receipts that would potentially be impacting third quarter revenue growth. I was just wondering if you could talk about that a little bit, what happened with these spring/summer receipts. And then the gross margin in the quarter showed really nice increase, 390 basis points. Could you just unpack the drivers of that gross margin increase for us a little bit? Thank you.
Martin Beer: Yes, thanks. Thank you, Kimberly. On the first question and Michael can chime in, regarding the CPM share in the gross margin and we continue our guidance that for this fiscal year will be well below 20% and in the medium term, it will be well below 35%. On the Q3 to Q4 shift, it's a shift between Q3 and Q4 just due to the delayed spring/summer deliveries. So there is a shift in top and bottom line from Q3 to Q4 compared to the consensus. But combined, the Q3 and Q4 combined, the two quarters will be at the level of the consensus. And the last question -- sorry, Kimberly, what was the last question?
Michael Kliger: Unpack the gross margin increase.
Martin Beer: The gross margin impact, the 390 basis points, there are three factors in there, as I said in the call. Biggest factor is the increasing full price share. Second is the increasing revenue from the CPM model. And the third which is a smaller portion, is the increasing share of countries where we prepay the duties for the customer and basically charge that to the customer. It's reflected in our prices and that's why it increases the gross profit margin. So if there's a higher share of those countries, for example, the U.S. with a strong U.S. growth, then the share of the duties charged to the customer increases and that's why the overall gross profit margin also increases. So we have to take that in combination with the shipping and payment duty cost line.
Kimberly Greenberger: Okay, terrific. That is very helpful. And Michael, I was wondering if you could just talk about some of the strength you're seeing in the U.S. You talked about the new team on the ground here. Is there -- are there a variety of strategies that you've implemented or laid the ground work for over the past year that you feel like are really starting to produce those -- that strong growth rate here in the U.S.?
Michael Kliger: Absolutely. I clearly feel that having a local team with local resources, not only in New York but also based out of Florida and based on the West Coast, is helpful. I won't deny there's also strong tailwinds in the U.S. luxury market as evidenced by also many reports from brands. But what we clearly get as feedback from customers that we gain and from customers who spend with us that we seem to fill a void for a true luxury retail platform. And they're leaning into Mytheresa to get the extravagant pieces, to get the special pieces. And Q2 was very much about dressing up, was very much about going out, was very much about having that spectacular look. And as I said, we are very excited that we see strong traction in Florida, in Texas. I think these are the states that are really growing in terms of luxury demand, probably also because of wealthy consumers moving to the south. And also, California has become a really nice ground for business. And I believe there also our menswear positioning being a fashion authority beyond streetwear is helpful. And this is where the team has done extraordinary work in organizing VIC events. We had top-notch events in L.A. We have top-notch events in Miami, in New York, really reaching out to those top customers, really following our customer-focused approach and where every customer really feels personally addressed by Mytheresa.
Kimberly Greenberger: Thank you so much.
Operator: Our next question comes from the line of Michael Binetti from Credit Suisse. Michael, please go ahead.
Michael Binetti: Hey, guys. Thanks for taking our questions here and thanks for all the detail today. Congrats on a nice quarter from us as well. Let me -- I just want to ask you for a little bit of help reconciling the comments that the profit pool for CPM is comparable to the wholesale model. If we pull the numbers apart a little bit today, the mix of -- I guess the growth rate of GMV relative to sales is accelerating. So that underlies what you said that the CPM is growing as a percent of mix here. But when we look at the incremental profitability in the quarter, it was a lot higher than it has been in the past on similar revenue growth rates. And especially if we exclude some of the headwinds from the shipping costs which the whole industry is dealing with, that added a lot of pressure in the quarter. It just looks like the underlying profitability in the business is moving up a lot faster per point of GMV growth than it did in the prior model. And I can't quite reconcile that with a comment that CPM has comparable profit pools to wholesale. Is there anything you can help me understand to unpack that a little better? Thanks.
Michael Kliger: Let me comment a bit and then Martin should add to it. I mean the comparable profit pool clearly refers to as a percent of GMV. The CPM business with the brand brings the same results. But of course, our quarter profitability is not only driven by CPM. So I fully agree with your analysis. We have performed also better on other drivers. And so the headwinds of shipping and the headwinds of marketing have been also compensated by, again, an increase in full-priced business across all business models, also wholesale. So we continue to grow with a higher full price share. But if you can -- if you want to have apples-to-apples inside, of course, a composite result, then our reference is that with the effects of additional top line growth, with the effects of marketing and SG&A efficiencies, a brand switching from wholesale to CPM generates the same comparable profit pool which expressed the GMV margin of EBITDA, of adjusted EBITDA gets the same number. But Martin, maybe you will add on that.
Martin Beer: Exactly. I mean you laid it out very well. I mean, Michael, I mean, if you look at the bottom line, the adjusted EBITDA in percent of GMV stayed stable relating to the previous quarter. So on the bottom line, it's very stable. And obviously, as Michael said, there's a lot of factors in there. And don't forget the strong -- continued strong increase in the full price share and that increases not only the gross profit margin but also the euro-dollar out of the GMV. And then there is marketing cost efficiencies but yes, some slight increases in the shipping and payment cost ratio. So there's a lot of factors in there. But as Michael laid out, whether it be from wholesale or from the CPM, the overall profit pool is very comparable. And CPM is for just a certain number of brands, that will be well below 20% this year and midterm, well below 35%. So it's additional part of our business model.
Michael Binetti: Okay. And can I maybe follow that by maybe just asking how you see the full -- how far full price share is from historic levels? Is that -- does that still have some runway, in your view? And then I'm also curious if the guidance as you laid it out -- and I know you didn't give us quarters with a lot of detail for the back half here but does the guidance assume any sort of shifting out of fourth quarter into first quarter from these delivery delays continuing, similar to what you're seeing from 3Q into 4Q? Or any reason to believe that you start catching up on deliveries based on what you see on shipping?
Michael Kliger: So let me talk about that because I think also Kimberly was referring to that. So what we, at the moment, see is that we are behind in spring/summer delivery ratios. So I mean, obviously, we track how much of the full order of spring/summer has already arrived and we are behind the number versus last year. That is a combination of, as always, different factors. We have been advised by some manufacturers that they -- or some brands that had issues in their factories because of workforce shortages, so stuff comes later. Sometimes which has also happened in the past, there have been quality issues. And therefore, our brand says, look, we have to do rework, you will get it later. But whatever this is, this will be caught up by Q4 because this is spring/summer and spring/summer will be fully delivered by end of May. So this may -- not may, we believe it does impact Q3 but this will be caught up in Q4, just to be fully transparent on the comment on delivery delays.
Michael Binetti: Excellent. All right. Thank you guys so much. 
Operator: Our next question comes from the line of Oliver Chen from Cowen. Oliver, please go ahead. 
Oliver Chen: Thanks a lot. Hi, Michael and Martin. Congrats on also the metaverse developments in Moncler. That was great. On the Curated Platform Model, I would love your thoughts on the percentage mix evolving over time. Also key learnings and how this partnership may evolve over time. I imagine different brands have different perspectives on how they want to partner with you in the Curated Platform Model. Second, as we think about China, relative to the U.S., they're both great opportunities. Could you help contrast the marketing and awareness builds in these markets? And also as you think about infrastructure and distribution centers, will that be a critical part of the longer-term growth stories in both of those markets? Thank you.
Michael Kliger: Thank you, Oliver. I'm happy to address the second part. And on the first one, I mean, Martin should reiterate our guidance. But what is very important and what was referenced in your sentence which I think is core to our attitude, each brand has their own priorities. Each brand has their own approaches. And we believe in true brand partnership as a key success factor. And therefore, I mean, the CPM is one way to partner wholesalers. But even if you look into how we partner with some brands on the wholesale, there are differences. We really want to get it right for both sites to create win-win. And also our marketing approach is reflecting of that. It's not cookie-cutter. We really try to create unique campaigns. So this whole business brand partnership approach is very much driven by different priorities. And you're absolutely right, also the CPM is not for all brands and will not be for all brands. On the second part, I mean, the main challenge or opportunity, better to say, in both geographies, be it Asia, China, most precisely in the U.S. is creating brand awareness, creating brand trust. And one key aspect of that is increasing marketing spend, OpEx but also increasing presence on the ground, reaching out to customers. The China opportunity, as you say, is as great and as big as the U.S. It is, nevertheless, also slightly more complicated. The China e-commerce landscape has it's own -- created it's own ecosystems in terms of social media, in terms of payment options and therefore, it needs even more adjustment to the local markets. But the levers are the same, increased marketing spend, put people on the ground. For both geographies, local distribution capabilities are clearly a driver for future success but that's on the long-term horizon. It does not prohibit or it does not hinder us in achieving a super nice growth rate as we demonstrated in Q2, even without presently having local distribution but as we grow infrastructure, will also be put in place into these markets. But as always, this is also fully reflected in our long-term guidance of CapEx requirements. And so this is part of our ongoing business model evolution.
Oliver Chen: And inflation and pricing has been an industry topic also. Luxury goods has had a solid track record of raising prices. What's happening with your business and customer response as well as the cost of goods sold across those topics? And Michael, you spoke about consolidation. We're seeing creative M&A, infrastructure combinations, JVs. As you think about organic versus M&A, are there categories or capabilities or technology or consolidation opportunities that could be value accretive? Thank you.
Michael Kliger: On inflation, I mean, obviously, we are dealing with a very special customer segment. And if anything, the last years and decades have shown that this customer group as long as it's a desirable product seems to be quite price insensitive. We have seen throughout the pandemic price increases. And when brands increase the prices of their products, we follow. I mean we have those price increases done also on our website. And so far, we have not seen price increases leading to lower demand. Of course, it always requires to have highly desirable product. But this is a unique customer segment. Obviously, this cannot be extrapolated to contemporary fashion or even premium fashion. On M&A versus organic, I mean, number one focus for us as a management is pursuing organic growth. Our growth targets can be and should be fulfilled with organic growth. That's the beauty of our business. We are -- we don't need M&A to achieve our targets. Nevertheless, we are open. Nevertheless, we are in a fantastic financial position. We are debt-free. We have cash. We are very well placed if or should interesting opportunities show up. So we are not rejecting M&A as a growth avenue but we don't require it. Organic growth potential is in abundance for us as a business and that's exactly how we approach these two avenues for growth.
Oliver Chen: Thank you. Best regards. 
Operator: The next question comes from the line of Kunal Madhukar from UBS. Kunal, please proceed. 
Kunal Madhukar: All right. Thanks for taking my questions. A couple, if I could. One, on the new customer additions, the 120,000 record customer additions, where are these customers coming from? Especially because the shift to online probably has already happened in a lot of different places because of COVID. And then when you think of like the churn in the first year, where are those customers going, the customers that have churned? And then I have a follow-up, please. Thank you.
Michael Kliger: Well, I think the pandemic has accelerated the shift of luxury consumers to online but by no means have we reached a limit. I mean it is estimated that we have now roughly 21%, 22% share of online and personal fashion luxury. But that will increase, again, estimated by consultants, to 30% by '25. So the shift is ongoing. And ongoingly, there are luxury consumers who embrace more and more luxury as their channel. And I cannot see at all that we have now seen all consumers that are willing to go online have done it. This is a continuous trend, maybe accelerated during the pandemic but the growth continues and is not stopping. And in terms, where are they churning? One key element of our business is that we really focus on customers that are ongoingly spending on luxury. I mean our top customers as disclosed in year one, 16x a year, average basket close to €1,000. And obviously, we also attract customers who sometimes want to buy one luxury bag or one pair of luxury sneakers. But that is the one luxury purchase they will do for the next 12 months. And as our definition is active customer within 12 months, they kind of churn because they haven't done any other purchase in the next 12 months and may or may not come back. The real importance of our business model is come year two of newly acquired customer cohorts, we achieved a close to 100% revenue retention because these are the ongoing wardrobe-building, multi-brand luxury shoppers.
Kunal Madhukar: Great. And as a follow-up to that, when you think of this 100% revenue retention, the average spend per customer is about €1,000, let's say, ballpark in that kind of vicinity. But what that customer, the high net worth customer is probably spending on luxury is probably a multiple of that €1,000. That's not all that they are spending. So when you think of like revenue retention, how does that increase over the next few years as the customer kind of stays on, on the platform? And if that spend remains at about €1,000 per year on average, then is there opportunity for you to kind of expand your selection in order to expand the wallet share?
Michael Kliger: Just to be clear, the €1,000 refers to the average basket of our top customers. That's not the annual spend of the top customers, just to be clear. So I mean close to 100% retention, what is behind that is we do over time see a slight diminishment in customer counts. So we still lose 1% to 2% of customers in cohorts for many different reasons, change of lifestyle, change of location. But the remaining customers continue to gradually spend more and therefore, that's how we achieved close to 100% revenue retention, just to explain the mechanics behind it. In terms of increasing, because we fully agree with your rationale there, this is not the full wallet we capture. This is a good share of their wallet but it's not the full wallet. And so it's clearly our ambition to increase our share of wallet of the whole luxury spend. And we do see that opportunity with additional categories. We're strengthening our offering also in hard luxury. We definitely don't see an opportunity because that goes against our strategic focus and also our customer needs to add brands and add SKUs that are not representative of the luxury add. But share of wallet increase in terms of adjacent categories clearly is an opportunity that we are pursuing and that we have pursued.
Operator: The next question comes from the line of Abhinav Sinha from Societe General. Please proceed.
Abhinav Sinha: Yes, I have a couple of questions. So one is on the return rates. As I think Michael mentioned that kidswear and menswear now account for more than 15% of your sales. So are you seeing overall reduction in the overall return rates for the company? And number two, in terms of geography, I see that excluding Germany, Europe has declined by around 1%. So any specific reason or any specific geography that you would like to discuss about here?
Michael Kliger: Martin, do you want to take the question on return rate first?
Martin Beer: Yes, yes, definitely. The overall return rate is very stable. And due to the mix effect of an increasing menswear and kidswear share, the return rates overall slightly goes down due to a slower -- due to a lower return rate on the menswear and kidswear. We also had in the investor presentation that the return rate for womenswear, very stable and the AOV of the womenswear, 8% increase. So very strong performance overall there from the different departments. And your question regarding the geographies, Europe, excluding Germany, as laid out, on a GMV level overall increases by 20%. In the quarterly report, it's the net sales with the overall net sales increase of the 18% laid out in the quarter.
Abhinav Sinha: Thanks.
Operator: The final question comes from Geoffroy De Mendez from Bank of America. Geoffroy, please proceed. 
Geoffroy De Mendez: Thank you very much. Hi, everyone. I have a couple of questions. The first one is on the guidance for the profitability for the full year. So it seems that if you want to reach your target, you need to do about 7% EBITDA margin in the back half, when in the first half, you did 12%. I understand there is Q2 which is a big quarter for you with Christmas but it seems a little bit low in the back half. So is it just caution here? Or is there something else that we should consider? So that's question number one. And then question number two is around your take rate for the CPM. I know, historically, you didn't really want to comment on the level of take rate but maybe that has changed given you have more companies that have joined. So any comment on this would be helpful. And more generally, the biggest competitor in the construction model, to name them, Farfetch has a lower take rate, it seems. So how do you sort of justify that you have this significantly higher take rate?
Michael Kliger: Maybe I take the second question and then Martin can comment on the profitability in the second half. So it's really comparing apples to pears. I mean our service -- our platform fee completely includes, of course, logistical services which Farfetch does not. And so all the shipping of that is part of our platform fee. And also we serve a different customer. I mean the customer that our model serves is a high-value multi-brand customer. That is a different customer than the customer that typically goes to marketplaces. It's just different. And in terms of marketing, also different. So it is a different, let's say, service or value that we create. And that's why there are differences in platform fees. But also, you cannot compare their platform fee with our because we have additional services also included.
Martin Beer: And on the EBITDA margin, yes, Geoffroy, you rightfully pointed out the seasonality in our business. So every quarter has a different adjusted EBITDA margin. And the second half of the fiscal year always has a lower adjusted EBITDA margin. The previous year adjusted EBITDA margin for the second half was 6.7%. So that -- if you back out the 7%, I have to look at that, it is about the number that we achieved from a profitability standpoint in the previous year.
Geoffroy De Mendez: Okay, thank you.
Operator: That is the end of the Q&A session today and this concludes today's call. So thank you for joining. You may now disconnect your lines.